Operator: Good day, and welcome to the Ring Energy, Inc.'s fourth quarter 2025 earnings conference call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Mr. Al Petrie, Investor Relations Coordinator. Please go ahead, sir.
Al Petrie: Thank you, Operator, and good morning, everyone. We appreciate your interest in Ring Energy, Inc. We will begin our call with comments from Paul D. McKinney, Chairman of the Board and CEO, who will provide an overview of key matters for the full year. We will then turn the call over to Rocky Kwon, Ring Energy, Inc.'s VP and Chief Accounting Officer, who will review the details of our fourth quarter 2025 and full year financial results. Paul will then return to discuss our 2026 guidance and outlook with closing comments before we open up the call for questions. Joining us on the call today are Sanu Joel, who recently joined Ring Energy, Inc. as its Executive Vice President, Chief Financial Officer, and Treasurer; Alexander Dyes, Executive Vice President and Chief Operations Officer; James Parr, Executive Vice President and Chief Exploration Officer; and Shawn D. Young, Senior Vice President of Operations. During the Q&A session, we ask you to limit your questions to one and a follow-up. You are welcome to reenter the queue later with additional questions. I would also note that we have posted an updated corporate presentation on our site. During the course of this conference call, the company will be making forward-looking statements within the meaning of federal securities laws. Investors are cautioned that forward-looking statements are not guarantees of future performance and that actual results or developments may differ materially from those projected in the forward-looking statements. Finally, the company can give no assurance that such forward-looking statements will prove to be correct. Ring Energy, Inc. disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. Accordingly, you should not place undue reliance on forward-looking statements. These and other risks are described in yesterday's press release and in our filings with the Securities and Exchange Commission. These documents can be found in the Investors section of our website located at https://www.ringenergy.com. Should one or more of these risks materialize, or should underlying assumptions prove incorrect, actual results may vary materially. This conference call also includes references to certain non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most directly comparable measure under GAAP are contained in yesterday's earnings release. Finally, as a reminder, this conference call is being recorded. I will now turn the call over to Paul D. McKinney, our Chairman and CEO.
Paul D. McKinney: Thanks, Al, and good morning, everyone. We appreciate you joining us today. Before we begin our discussion, I would like to introduce Executive Vice President, Chief Financial Officer, and Treasurer, Sanu Joel, who joined our senior management team last Friday. Sanu brings more than 20 years of experience across upstream oil and gas investment banking, corporate finance, and strategic advisory roles with deep expertise in mergers and acquisitions, capital markets, valuations, and financial strategy. For the last six years, Sanu was Managing Director and Co-Head of Energy Investment Banking at Raymond James & Associates, Inc., where he advised public and private E&P companies doing business in the Permian Basin as well as other major U.S. onshore basins. We are very pleased to welcome Sanu, who we got to know well while he was at Raymond James. Sanu, welcome aboard.
Sanu Joel: Thank you, Paul. I am excited to be here. I want to start by thanking you, the Board, and the entire leadership team for entrusting me with this important role as we begin what I truly believe is an exciting next chapter for Ring Energy, Inc. and for our stockholders. As a banker, I have known the company and many of you in the investment community for quite some time, and I am genuinely thrilled to now be on the inside working alongside you, Paul, and the rest of this leadership team. We have a very exciting future at Ring Energy, Inc. I look forward to contributing as we continue to execute our strategy and create long-term value for our stockholders.
Paul D. McKinney: You are welcome, Sanu, and we are equally excited for you to be a member of our executive team. Like I said earlier, welcome aboard. Regarding the task at hand, what a difference a week can make, right? Up until the Iranian crisis began to unfold last weekend, our focus was on raising the floors of our oil hedges to help ensure our future realized prices would be adequate to fund our 2026 capital program. Things certainly look different today. We will talk more about 2026 and the future later in this call, but for now, Rocky and I are going to reflect on what happened last year, the conditions we faced in 2025, and our fourth quarter and full year results. 2025 was a year that demonstrated the strength and resilience of Ring Energy, Inc.'s value-focused, proven strategy. When combining the flexibility afforded by our strategy and the discipline demonstrated by the management team to quickly adjust capital spending in the face of post Liberation Day oil prices, Ring Energy, Inc. delivered strong performance throughout the year 2025 and in the fourth quarter. Perhaps one of the more important successes was that we increased adjusted free cash flow by 15% year-over-year, setting a new company record despite 18% lower realized commodity prices, and we delivered our 25th consecutive quarter of adjusted free cash flow, a track record we are very proud of. We also increased sales volumes by 3% year-over-year, our total proved reserves by 14%, our proved undeveloped inventory by 17%, which pushed our identified total locations to 500 or more, representing over 10 years of drilling inventory. This is significant because we have demonstrated for the third year in a row our ability to organically grow our reserves beyond merely replacing our production. We decreased capital spending by 35% year-over-year, reducing our reinvestment rate by 18% to 53% of our 2025 EBITDA. We improved our drilling capital efficiency by 19% since 2023 and 3% year-over-year to $500 per lateral foot, keeping our capital costs under control. We also reduced our year-over-year per BOE all-in cash cost by 4% and our lease operating expense during the last six months by 18% or $1,400,000 per month over the pro forma run-rate prior to closing the Lime Rock asset acquisition. This is significant because our lease operating cost run-rate per month is less today than it was before the Lime Rock acquisition despite the fact that we are operating more wells and more production. And finally, we reduced our debt by $40,000,000 since the closing of the Lime Rock asset acquisition in addition to making the $10,000,000 deferred payment in December. The $40,000,000 debt reduction represents almost 60% of the debt incurred at closing of the Lime Rock acquisition in only three quarters, and all of that done in a low price environment. Although 2025 will be remembered by Liberation Day and challenging oil prices that followed, Ring Energy, Inc. stepped up to the challenge and delivered strong operational and financial performance. Now, with that, I have completed my intro. I am going to turn it over to Rocky to go over the numbers and the details of the fourth quarter and the full year, and then Sanu, me, and the rest of the team will follow up afterwards to review our outlook and guidance for 2026 and discuss rapidly changing conditions affecting our industry and what they may mean for our stockholders. Rocky?
Rocky Kwon: Thanks, Paul. Good morning, everyone. We are pleased with our outcome for the fourth quarter. In addition to the results that met our overall guidance, the fourth quarter capped off another successful full year for Ring Energy, Inc. Similar to past calls, I will take a few minutes to cover some additional color detailing the most significant sequential quarterly results. Starting with production, in the fourth quarter we sold 20,508 BOE per day, down from 20,789 BOE per day in the third quarter, a slight decrease of 1%. A portion of the decrease was attributable to a third-party gas plant being shut in due to a fire, which affected our sales volumes. Our fourth quarter total sales volumes were above the midpoint of our guidance range and contributed to a record full year 2025 sales volume of 20,253 BOE per day. The year benefited from nine months of production from our Lime Rock acquisition, which closed in March 2025. As Paul discussed, another successful drilling campaign across our asset base with a continued focus on our highest rate-of-return inventory also materially contributed to our record full year 2025 sales volumes. Turning to the fourth quarter 2025 pricing, our overall realized price declined 14% to $35.45 per BOE from $41.10 per BOE in the third quarter. The overall sequential decline was driven by 11% lower realized pricing for oil in the fourth quarter 2025. Our fourth quarter average crude oil differential from NYMEX WTI futures pricing was a negative $1.66 per barrel versus a negative $0.61 per barrel for the third quarter. This was mostly due to the Argus WTI-WTS that decreased negative $0.14 per barrel offset by the Argus CMA roll that decreased a negative $0.92 per barrel on average from the third quarter. Our average natural gas price differential from NYMEX futures pricing for the fourth quarter was a negative $6.04 to $7.00 per Mcf compared to a negative $4.22 per Mcf for the third quarter. Our realized NGL price for the fourth quarter averaged 9% of WTI compared to 8% in the third quarter. Oil revenue decreased by $9,500,000 due to a negative $8,300,000 price variance and a negative $1,200,000 reduction. Gas and NGL revenues, on the other hand, increased by $2,200,000 quarter-to-quarter, for a combined total of $2,500,000 in the fourth quarter compared to $300,000 in the third. This resulted in fourth quarter revenue of $66,900,000 compared to $78,600,000 for the third quarter, a 15% decrease. Fourth quarter LOE of $18,900,000 was 8% below third quarter. On a unit basis, fourth quarter LOE was $10.02 per BOE, which was 7% below the low end of our guidance range. Third quarter LOE was $10.73 per BOE. Cash G&A, which excludes share-based compensation and transaction-related costs, was $3.46 per BOE for the fourth quarter versus $3.41 per BOE for the third quarter. Our fourth quarter 2025 results included a gain on derivative contracts of $17,500,000, up from $400,000 for the third quarter, primarily due to lower relative pricing at the end of the fourth quarter. Finally, for Q4, we reported a net loss of $12,800,000, or $0.06 per diluted share, which includes $35,900,000 of non-cash ceiling test impairment charges. Excluding the estimated after-tax impact of pre-tax items, including share-based compensation expense, non-cash ceiling test impairment and non-cash unrealized gains/losses on hedges, our fourth quarter adjusted net income was $3,600,000, or $0.02 per diluted share. This is compared to a third quarter 2025 net loss of $51,600,000, or $0.25 per diluted share, and adjusted net income of $13,100,000, or $0.06 per diluted share. We incurred $24,300,000 in CapEx in the fourth quarter, in line with the midpoint of guidance. We maintained D&C CapEx at $14,000,000 in the fourth quarter compared to the third quarter. We incurred costs of approximately $500,000 for facility upgrades, which contributed to our year-over-year reduction in emissions. Also included in our fourth quarter CapEx was over $400,000 in leasing cost, approximately 23% of our full year leasing, which added to our reserve replacement and organic inventory growth. In 2025, we generated $5,700,000 of adjusted free cash flow and paid down $8,000,000 in debt, resulting in debt reduction of $40,000,000 since completing the Lime Rock acquisition in March 2025. In addition to the paydown, we made a $10,000,000 deferred payment in December 2025 related to the Lime Rock acquisition. For full year 2025, we paid down $35,000,000 of debt and generated $50,100,000 in adjusted free cash flow. We will continue to utilize our free cash flow to improve our long-term financial profile through further debt repayment, which we expect will be fueled primarily by growth in cash flow driven by the successful execution of our targeted 2026 development program. Our primary focus remains the same: utilizing our substantial free cash flow to primarily reduce debt and better position ourselves to ultimately provide a meaningful return of capital to shareholders. At year-end 2025, we had $420,000,000 drawn on our credit facility. With the borrowing base of $585,000,000 that was reaffirmed in December, we had $165,000,000 available net of letters of credit. Combined with cash, we had liquidity of $166,000,000 and a leverage ratio of 2.2 times. Moving to our hedge position, for 2026, we currently have approximately 2,300,000 barrels of oil hedged, or approximately 48% of our estimated oil sales based on the midpoint guidance. We also have 4.7 Bcf of natural gas hedged, or approximately 66% of our estimated natural gas sales based on the midpoint. For a quarterly breakout of our 2026 hedge positions, please see our earnings release and presentation, which includes the average price for each contract type. I will now turn it back to Paul to review the outlook and guidance for 2026. Paul?
Paul D. McKinney: Thank you, Rocky. Before turning to our outlook and guidance for 2026, we want to take a moment to directly compliment our field personnel. Once again, a January winter storm brought extremely cold temperatures and icy conditions to our operations. To our pumpers, maintenance crews, contractors, and our field supervisors, your dedication kept our people safe and our assets protected. We know what it takes to operate in those temperatures, and the executive team and board are incredibly grateful for your grit and hard work. Now, looking ahead to 2026, we intend to follow a similar disciplined approach as we have in the past. Our strategy is to invest enough capital to maintain or slightly grow our production and allocate the remaining portion of our cash from operations to reduce debt. Our budget and plans this year are based on $60 per barrel WTI and $3.50 per Mcf Henry Hub. We expect our average annual sales to range between 19,500 to 20,800 barrels of oil equivalent per day, for a midpoint of 20,150 barrels of oil equivalent per day. We expect our average annual oil sales to range between 12,500 and 13,400 barrels of oil per day, with a midpoint of 12,950 barrels of oil per day. Both ranges are essentially flat with 2025 sales volumes after taking into account the recent divestiture of approximately 200 barrels of oil equivalent per day of non-operated production and the impact of the January winter storm that temporarily reduced production by 500 to 540 barrels of oil equivalent per day. Supporting our production estimates, we expect full year capital spending of $100,000,000 to $130,000,000, with a midpoint of $115,000,000. We anticipate drilling, completing, and bringing online approximately 23 to 32 wells during the year. First quarter spending is projected to be between $28,000,000 and $34,000,000, with a midpoint of $31,000,000. This capital program provides optionality and the potential to add new benches to our drilling inventory, offering a compelling avenue to expand our development, deepen our opportunity set, and further demonstrate the strength and longevity of our asset base. Our ongoing advancements in capital efficiency through longer laterals, optimized completions, and continued constant improvements are already generating tangible benefits and are expected to serve as a strong foundation for sustainable free cash flow generation. With our continued focus on capital efficiency, our full year LOE is currently expected to range between $10.15 and $11.50 per BOE, for a midpoint of $10.65 per BOE. I believe it is important to point out that we are projecting an LOE midpoint below what we achieved in 2025, which emphasizes our continued commitment to further cost reductions. This is important because it contributes directly to the bottom line by increasing margins and creates further optionality for the company. In summary, our 2026 program follows the same proven playbook: disciplined capital allocation, relentless focus on reducing our LOE and cash costs, increasing the capital efficiency of our drilling program, which collectively maximizes free cash flow generation and furthers our ability to reduce debt. As mentioned earlier, our 2026 budget and plans assume WTI oil prices of approximately $60 per barrel and Henry Hub natural gas prices of approximately $3.50 per Mcf. Now with that, we have covered the 2026 guidance. I believe we, as a team, should spend a little more time talking about the Iranian crisis, Ring Energy, Inc.'s strategic advantage, our recent stock price performance since last fall, and what all this can mean for our stockholders. Additionally, people want to get to know you, Sanu, and understand why you chose to leave the investment banking world to join Ring Energy, Inc. Sanu?
Sanu Joel: Paul, as you know, I spent nearly two decades as a banker advising E&P companies, and what became increasingly obvious to me over that time is that the U.S. shale model is maturing. Core inventory across the industry is being drilled up, decline rates remain steep, and the market today is far more selective about which companies deserve long-term capital. Against that backdrop, Ring Energy, Inc. stands out. What initially caught my attention was the durability of the asset base. Ring Energy, Inc. operates conventional assets with shallow declines, long-life reserves, and high margins, characteristics that are unique to Ring Energy, Inc. and increasingly rare in today's E&P landscape. A 20-plus year R/P ratio and more than 10 years of identified drilling inventory is something I do not think many other companies can say, especially in the small- to mid-cap space. What also truly differentiated Ring Energy, Inc. for me was its consistency of execution. Ring Energy, Inc. has generated resilient free cash flow for 25 consecutive quarters through multiple commodity cycles. Over the last three years, Ring Energy, Inc. has organically grown reserves, not just replaced production. The company has also been active at M&A, successfully integrating multiple accretive acquisitions, all while simultaneously improving capital efficiency, lowering costs, and reducing debt. From a capital allocation standpoint, Ring Energy, Inc. is doing exactly what the public markets are asking for today: living within cash flow, reinvesting prudently, strengthening the company, building towards sustainable returns of capital, and maintaining optionality for growth. There are very few companies, especially at this scale, that can demonstrate this level of discipline and repeatability. Looking ahead, I am excited to be part of the team. My focus as CFO will be straightforward: protect the balance sheet, enhance free cash flow durability, strategically position us for growth, and help position Ring Energy, Inc. to ultimately return capital to stockholders from a position of strength. With our asset quality, inventory depth, and proven operating and financial discipline, I believe Ring Energy, Inc. is exceptionally well positioned for the next phase of this industry. Paul, I hope this gives investors a better sense of why I am so excited to be working at Ring Energy, Inc.
Paul D. McKinney: Thank you, Sanu. Yes, I believe it does, and reinforces why we are so excited to have you. Now turning to James. How about you? What do you believe are some of the more important issues our stockholders should know about Ring Energy, Inc. and in light of the current events?
James Parr: I am glad you brought that up, Paul. The value of being a Permian-focused company has never been greater given the potential for international supply disruption. Our over 96,000 net acres footprint in the heart of the Permian has been primarily focused on the San Andres, however, we have proven through our vertical drilling program that we have a robust inventory of additional attractive targets, which have been and continue to be de-risked by us and others in our industry horizontally. Ring Energy, Inc.'s exploration mindset has led to organic growth over the last three years. We do not see any reason why we cannot continue this performance in 2026 and beyond. We began testing previous vertical targets last year horizontally with excellent results. We will continue to test these intervals to determine repeatability and are confident that successful outcomes will result in increased inventory, capital efficiency gains, and future organic growth. More to come.
Paul D. McKinney: James, that was great. Alex, what do you believe are some of the important issues our stockholders should know about our company, our operations, and also in light of the current events?
Alexander Dyes: Thanks, Paul. Let me walk through how our strategy has delivered real, measurable value for our shareholders and set us up for future value creation. First, we have built a clear track record of executing acquisitions that are not only immediately accretive but strategically complementary. These deals added scale to our business, provided operational synergies, and most importantly, expanded our future drilling inventory. What truly differentiates us is our execution after close. In our two most recent acquisitions, Founders and Lime Rock, we have exceeded expectations in the first year across key metrics, including increased production, lowering lift costs, lowering drilling capital per well, and increasing proved reserves. That performance is tangible proof of value creation, as shown in our 2025 performance. Beyond near-term results, these acquisitions, along with the Stronghold in 2022, have meaningfully deepened our inventory across the Central Basin Platform. Second, increased scale and operational control have enabled a more durable cost structure. Over the past three years, we have consistently improved capital efficiency and reduced operating costs, driving approximately a 10% improvement in finding and development costs to $10.40 per BOE since 2023. That improvement is not cyclical; it is structural. They are driven by disciplined capital allocation, technical optimization, and a strong cost control culture, as demonstrated in our three-year track record of improvements. Our LOE reductions are long-term in nature and further enhance the value of our already long-life, low-decline reserves. Our culture is one built to last, not one for just short-term gains. Finally, looking ahead, we are focused on extending this momentum into 2026, investing in infrastructure that supports the next phase of development as we transition from verticals and predominantly one-mile laterals to multi-bench, longer laterals, meaning laterals longer than 1.5 miles, and co-development opportunities where applicable. Proving our shift to horizontals in 2026, our drilling program midpoint increased the horizontal mix to 85%, or 23 horizontals, versus 67% in 2025. By drilling longer laterals, proving up multi-bench inventory and advancing co-development across stacked pay zones, we are unlocking more capital-efficient inventory and positioning the company for a stronger, more durable free cash flow profile over the long term. Paul, I will turn it back to you.
Paul D. McKinney: Thanks, these are all great points. Another point worth discussing, though, is that since the exit of our former largest stockholder in August of last year, our stock price has nearly doubled. If you recall, their exit put additional selling pressure on our stock, causing our stock to trade below $1 and disqualifying our Russell 3000. We believe these two events were instrumental in driving our stock price down to $0.72 a share and our trading multiples at the lower end of our peer group. Another point I want to make is associated with our pursuit of growth through acquisitions. Given our current debt and leverage ratio, we are not in the best position to pursue a sizable acquisition. Having said that, though, we are always looking for the next great deal. And this is where it is good to have more ways to win, so to speak, or more growth tools in the toolbox. We do not only depend on M&A for our future growth because we have demonstrated that we can grow organically as well. Having said all that, this brings us to the end of our prepared remarks, so I will sum things up by saying we scaled the business, expanded high-quality inventory, lowered our cost structure, and are investing today to drive sustainable returns and long-term value creation. We are excited about the opportunities ahead in 2026 and believe we can deliver meaningful long-term stock price appreciation now that our overhang on our stock is behind us. Since the new year, our share price has increased 62%, reflecting renewed investor confidence, our stronger operational execution, and a clear alignment between our stock price performance and our valuation. With that, we will turn this call over to the Operator for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. To ask a question, please follow the instructions provided. If you would like to withdraw your question, please follow the prompts. And the first question will come from Jeffrey Woolf Robertson with Water Tower Research. Please go ahead.
Jeffrey Woolf Robertson: Thanks. Good morning. Paul, you talked about the organic growth in inventory set through the 2026 drilling program. Are you testing any new zones in the 2026 program, or is expanding the inventory related to high-grading zones that you may think are, with additional drilling data points, you determine those could be economic targets?
Paul D. McKinney: Good morning, Jeff. Yes, it is a good question. Very much so. And so with respect to new zones, you have to remember that we have been drilling what we call inexpensive verticals and completing the stacked pays in Crane County and also in Ector County for quite some time. North of that, we focused on the San Andres. But all these zones have been producing in many of our wells for a long time. What is new is that we have taken a serious look at our inventory across our entire acreage position. We have identified the zones that we believe are commercial or can be commercial horizontally, and we began last year testing a few of those. And so we are not yet ready to come out with which zones that we are specifically targeting and where. But we are very encouraged by the results. And this year's program is designed to test the repeatability of that, and with that, we will come out with a lot more information about which of these zones that we are targeting, how meaningful it will be for our stockholders in terms of the number of sticks that we are adding into our inventory. And so we are really excited for 2026. I think the point that you are driving to right here is the key reason why we are so excited, because we do believe that our capital program this year, even though a modest one, is going to generate a lot more information about the sustainability of our current asset set in terms of developing future horizontal wells, going from verticals to horizontals. And with that, James, is there anything more you would like to add to that?
James Parr: Yes. No. Those are all good points. And Jeff, we paused our original budget at the beginning of the year. What it changed this past week has been, but we are going to stay disciplined towards paying down debt and feathering in these additional tests for these other horizons so we can still meet our financial objectives of paying down debt and remaining disciplined, and then get some data behind us. But we view our previous acquisitions setting us up perfectly with a great inventory of deeper potential that we are in the process of testing. So more to come on this, but as Alex mentioned, we are investing a little in infrastructure to be able to capitalize on converting the program into horizontal wells. And the neighbors surrounding us have been testing some of the zones very successfully too. So we are going to have a disciplined approach to doing this, but we are very excited by the potential we have ahead of us. So thanks for asking.
Paul D. McKinney: Yes, and like I said a little earlier, Jeff, although we are not planning to grow our production appreciably this year, it is my belief anyway that the results of the work program that the geoscience and engineering teams are pursuing will inventory more horizontal sticks, and we should emerge from 2026 with an inventory that we can actually develop and lead to significant organic growth without the need to pursue M&A. And, of course, you know that we love M&A, and we like pursuing the acquisitions, but we have more than one way to win, so to speak. And this program, although not designed to develop production growth, it is designed to develop, potentially, additional inventory for drilling locations and also reserve growth.
Jeffrey Woolf Robertson: To your point on horizontal wells, Paul, do you have a lot of land work to do to get those leases positioned to accommodate the length of lateral that you think will be most efficient as you look at these zones?
Paul D. McKinney: Yes. We began those efforts actually as much as two years ago, positioning our land so that we can drill the longer laterals. So this year, we will be drilling our first two-mile well. And we are focused on, just like the rest of the industry, organizing our leases, preparing things so that we could take advantage of the benefits of additional capital efficiency. We have learned now that going to longer laterals, we have also learned that employing some of these newer latest and greatest completion techniques and the evolution of our completion designs, is just leading to more reserves per dollar spent, more production per dollar spent, more capital efficiency. And so this is also another part of what we are doing. Yes, it takes a little bit of capital to invest in some of the infrastructure, like the ability to store enough water so you can complete these longer wells. But these investments are going to pay off in the long term. We will incur some of those costs this year, but they will have benefits in the years to come as we fully develop our acreage down there in Crane County and Ector County and all that kind of stuff. Thank you.
Operator: And our next question will come from Charles Kennedy Fratt with Alliance Global Partners. Please go ahead.
Charles Kennedy Fratt: Hey, great presentation. Just a quick one. I noticed that you sold some non-op properties, I think earlier this year, after the end of the year. Can you quantify what you are going to bring in there? I am not sure I heard that. And then secondly, are there other opportunities to sell assets or non-core production?
Paul D. McKinney: Yes. Good morning, Poe. Yes, that is a very good question. We did close—we began a disposition process last year of some non-operated assets in Yoakum County. And yes, we closed on that in January. It represented about 200 BOE per day net of our non-op production, and that is what we subtracted out of our forecast for this year. And there are a few more details that we can share with that. I mean, Alex, I think maybe you ought to cover all of that for us.
Alexander Dyes: Yes. Thank you, Paul. So, Poe, yes, we sold 200 BOE per day, and we sold it at $4.5 million, so about 4.5 times next 12 months cash flow using a December strip price. So that is actually what we sold.
Charles Kennedy Fratt: Great. Thank you.
Paul D. McKinney: And with respect to the rest of our inventory, we are always looking for ways to accelerate value to help us pay down debt. But as you know, we have been pretty, over the last five years, selling the assets in the portfolio that really do not meet our criteria. And so if the undeveloped opportunities are not competitive with our current portfolio, it is kind of hard to justify keeping those. You can sell those to someone else who is willing to invest in those types of opportunities and bring that value forward, and we have been paying down debt, or primarily allocating those funds to paying down debt. So we will continue to do that in the future. I will say, though, that the cupboard is kind of bare. We probably need to do another acquisition or two because every time you make an acquisition, you will end up picking up assets that do not fit our criteria to stay within our portfolio, and so we tend to monetize those when that occurs. And so right now, I am not sure that we really have an inventory that is meaningful that would be coming to market from us anyway because we have basically already cleaned out the cupboards. Did that answer your question, Poe?
Charles Kennedy Fratt: It did. Thank you, Paul.
Operator: As there are no further questions, this will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Paul D. McKinney for any closing remarks. Please go ahead.
Paul D. McKinney: Thank you, Chuck. On behalf of the management team and the Board of Directors, I want to once again thank you for your interest in joining today's call. We appreciate your continued support of the company, and we look forward to keeping everyone updated on our progress in the future. This ends the conversation. Thank you.
Operator: Have a great day. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.